Operator: Good day, ladies and gentleman and welcome to the Superior Plus Second Quarter 2019 Results Conference Call. At this time, all participants are in a listen-only mode. Later, there will be a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I will now like to turn the conference over to Mr. Rob Dorran, Vice President of Investor Relations and Treasurer. Sir, you may begin.
Rob Dorran: Thank you, Shannon. Good morning everyone, and welcome to the Superior Plus conference call and webcast to review our 2019 second quarter results. Joining me today is Luc Desjardins, President and CEO; and Beth Summers, Executive VP and CFO. Today's call is being webcast and we encourage listeners to follow along with the supporting presentation which is also available on our website. For this call, Luc will start with some opening remarks and then Beth will provide a high level review of our financial results for the second quarter and our 2019 guidance. Following their prepared remarks, we will open up the line for questions. Before I turn the call to Luc, I'd like to remind you that some of the comments made today may be forward-looking in nature and are based on Superior's current expectations, estimates, judgments, projections and risks. Further, some of the information provided refers to non-GAAP measures. Please refer to the second quarter MD&A posted on SEDAR and our website today for further details on forward-looking information and non-GAAP measures. I would encourage listeners to review the MD&A as it includes more detail on the financial information for the second quarter, as we won't be going over each financial metric on today's call; this will allow us to move more quickly into the question-and-answer period. I'll now turn the call over to Luc.
Luc Desjardins: Thank you, Rob and good morning, everyone. Thanks for joining us on this morning on the call. At our Investor Day 2018, we increased our goal for the Evolution 2020 and EBITDA from operations improvement from a range of $50 million to $150 million up to $200 million to $250 million compared to our 2016 EBITDA from operations of $276 million. I'm happy to say we have achieved our Evolution 2020 goal ahead of plan, delivering a trailing 12 months EBITDA from operations of $497 million, which is an increase of $221 million. We'll be rolling out their new strategy and plan following the completion of the Specialty Chemical review process. We have another busy quarter at Superior, containing too certain [ph] early in the quarter and integrating the acquisition of NGL Retail East business, with all of that business for just over a year now and have a good understanding of the different opportunities for improvement and growth. With the knowledge we've gained in the past 12 months and the progress and synergy, we've increased our run rates synergies target by 20% from US$20 million to US$24 million. We also announced we are considering the sale of our Specialty Chemical business and the process is advancing as expected as it is an unexpected and not conventional process, we're unable to provide much of an update at this time. The yearly business is well round operation with a top class management team and strong cash flow, which we expect will provide a good valuation. Even though we're considering the sale of the Chemical business, we will continue to invest in the business and be a good steward up to until the potential sale is completed. In that regard, we've announced the planned closure of the Saskatoon sodium chlorate facility, which is a high cost plan and we have announced two planned expansions of Valdosta, southeast USA and Buckingham, Quebec. The two expansion projects don't require significant amount of capital and expect to generate strong returns. The expanded capacity and these two low cost plants will serve the business well in North America as well as additional export business thus we are going to do across the work.  On the operations side of the business, with this -- with the second quarter EBITDA from operations of $71.4 million, which was $21.7 million higher than the prior year quarter, probably due to the U.S. propane distribution business and the impact on IFRS 16. Excluding the impact of IFRS 16, the U.S. propane distribution EBITDA was $9.8 million higher due to the contribution of NGL acquisition and the tuck-in acquisition completed in the U.S. In 2018, as well as our execution on the integration and realized synergy on NGL, which are ahead of plan, our Specialty Chemical EBITDA from operations excluding the impact IFRS 16 was higher due to the increased sodium chlorate volume and pricing. Our team has done a great job executing on the NGL integration and we arrived additional $3.8 million in synergy in the second quarter, bringing the year-to-date closer to a $9.4 million. Based on the team's progress so far with [indiscernible] 2019 with just $20 million run rate synergy and we expect to realize an additional $4 million run rate synergy in 2021. As we've previously communicated, the synergy expected from supply chain efficiency, margin management improvement, and the superior way operational methodology that we're putting in place. And sending the fact that we can often find at least 15% to 25% than opportunity over improving the bottom line of business worth buying in the energy fields in North America. Canadian propane distribution business also had a good quarter with good contribution from California wholesale business, UPE and improved wholesale market fundamentals; we continue to face some challenging market though conditions in Western Canada with the decline in the oil fields and other commercial activity related to the oil field. Our strong performance despite these challenges speaks to the strength and the diversity of our operations across different geographies and lines of business. We continue to see a tremendous opportunity to grow our emerging distribution business especially in the U.S. retail propane distribution market as this is approximately 6X the size of the game market and in a highly fragmented.  So now I'll turn the call over to Beth to discuss the financial results.
Beth Summers: Thank you Luc, and good morning everyone. The second quarter results were in line with our expectations. And I wanted to highlight the second quarter is typically a lower quarter for Superior due to the lack of heating related business. In addition, the NGL retailing business is more seasonal in nature than our legacy propane business in the U.S. and Canada due to its higher concentration of residential heating customers and branch locations in the southeastern U.S. We had strong results from our operations and achieved adjusted EBITDA at $59.7 million, which was 39% higher than the prior year quarter, primarily due to the increased EBITDA from operations at all Superior businesses, partially offset by increased corporate costs, related to share price appreciation in the quarter and realized losses on foreign exchange hedging contracts. The adoption of IFRS 16 had a $9 million impact on our second quarter results and expenses related to operating leases are now reclassified as a reduction in long-term liabilities. Excluding the impact of IFRS 16 and long-term incentive plan costs, adjusted EBITDA increased 27% compared to the prior year quarter.  Consolidated adjusted operating cash flow or AOCF per share before transaction and other costs, with $0.18 per share, which is $0.03 lower than the prior quarter due to the increased interest expense and the impact of higher weighted average shares outstanding; this is partially offset by the increase in adjusted EBITDA. Interest expense increased due to the higher average debt levels which were higher related to financing completed in 2018 to finance the NGL acquisition. Weighted average shares outstanding also increased due to the NGL acquisition financing. AOCF for transaction and other costs per share for the first six months with $1.38 per share or $0.21 or 18% higher than the prior year comparable period due to an increase in adjusted EBITDA, partially offset by the increase in interest expense and weighted average shares outstanding.  We made further progress on our debt reduction in the second quarter. Senior Debt to Credit Facility EBITDA as of June 30, 2019 with 3.7X, which is 0.2X and 0.5X lower than leverage as at March 31, 2019 and December 31, 2019 respectively. Due to the seasonal nature of our business, leverage ratios are typically lowest in the second and third quarters and increase during the fourth quarter related to higher working capital requirements.  Turning now to the individual business results, Canadian propane distribution EBITDA from operations for the second quarter with $20 million, a $2.9 million increase primarily due to higher gross profit, realized synergies from the CanWest acquisition and the impact of IFRS 16. This is partially offset by lower oilfield volume. Growth profit increased compared to the prior year quarter primarily due to the contribution from UPE and improved wholesale in market fundamentals. U.S. propane distribution EBITDA from operations for the second quarter was $12.9 million, a $10.9 million increase primarily due to contribution from the NGL acquisition and tuck-in acquisitions and higher average unit margin. Canadian propane distribution EBITDA from operations for 2019 is anticipated to be higher than 2018 due to the incremental synergies from CanWest, the full contribution or the full year contribution from UPE and the impact of adopting IFRS 16. U.S. propane distribution EBITDA from operations for 2019 is anticipated to be higher than 2018 due to the full year contribution from NGL and the tuck-in acquisitions, incremental synergies from NGL and the impact of adopting IFRS 16. Turning now to Specialty Chemicals; EBITDA from operations for the second quarter with $38.6 million, an increase of $7.9 million compared to the prior year quarter driven primarily by the impact of IFRS 16 and modestly higher sodium chloride gross profit. This is partially offset by lower chloride gross profit and higher freight costs. For the remainder of the year, we're expecting improved core offering market fundamentals especially as it relates to caustic soda. According to industry report, value in our case refinery in Brazil has been ramping up production and operating at 80% capacity in July. We should take some of the pressure off North Americans domestic competition for caustic soda and the refinery is a large caustic soda customer.  Specialty Chemicals 2019 EBITDA from operation is anticipated to be higher than 2018 primarily due to the impact of adopting IFRS 16 and increased sodium chloride selling prices and sales volume, partially offset by lower chlor-alkali results. Lastly, the corporate results and the adjusted EBITDA and leverage guidance. Corporate costs were $3.5 million higher than the prior year quarter driven primarily by long-term incentive costs related to the share price appreciation in the quarter. Superior share price increase 17% in the second quarter of 2019. Real life losses on foreign exchange hedging contract were $1.3 million higher due to the Canadian dollar being weaker. Interest expense was $26.5 million, $15.1 million higher than the prior year quarter due to increased average debt and effective interest rate. Debt was higher due primarily to the acquisition of NGL and tuck-in acquisitions completed in 2018. Current cash income taxes were consistent with the prior year quarter. We're confirming our 2019 adjusted EBITDA guidance range of $490 million to $530 million, which implies midpoint of $510 million. We're also confirming our Senior Debt to Credit Facility EBITDA leverage range for December 31, 2019 of 3.6X to 4X. With that, I'd like to turn the call over for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Patrick Kenney with National Bank Financial. Your line is open. 
PatrickKenny: Good morning everyone. At the Saskatoon facility, with lower drilling activity in western Canada. how sustainable are the chlor-alkali operations? I would have thought that this part of the plant maybe would have been more vulnerable than the chlorate just given the weakness in hydrochloric acid demand. Is there something offsetting this weakness?
LucDesjardins: The segment that we sell into the oil market is a good thing and that's sustainable. So we're busy and [indiscernible] a fully little bit for the rest of the year and we expect to be sold out in the years to come. No effect there for us on the Chemicals and I hope not -- coming to your question also, we're talking about retail Saskatoon, so -- that we can do that part.
PatrickKenny: Well, so you said higher electricity prices in Saskatchewan. Yes, I guess no province has experienced an increase in power prices over the past year or so like Alberta has. So I'm just wondering how should we be thinking about a potential shutdown at some point of the Grand Prairie facility because of high power costs?
BethSummers: Yes, I think overall the way to think about it is across our fleet, mill rate of increase roughly 7%. The impact of that sort of a cross would be somewhere between $10 million and that has been factored in to our guidance and going forward those increases. And just to respond or at least, at least respond on the question on the chlor-alkali in the Saskatoon plant. One of the other key things to think about is we have less rapid demand coming out of that plant. So we weren't as impacted as those which would primarily be selling into fracking. In addition to that, overall from specifically on the hydrochloric acid side, well, oil and gas segment has been weak and was weak in Q2. Other segments such as food and steel have been really quite steady for us.
PatrickKenny: And so just specific to Grand Prairie. You don't see any risk of that facility?
LucDesjardins: None of those things are looking good. As you know, the Saskatoon were now spending -- which is the bottleneck; so big cost to expand working with cost of electricity not increasing, we even have a grant from the government to a good part of the expansion and then about last more longer than planned in the southeast, longer demand and we export demand in the North American traditional demand where we do business, where those two plants are going to make more -- much more money than the Saskatoon; that's why we did this project.
BethSummers: Yes. One other fact on the Saskatoon plant is that factors in where it had very high electricity costs in addition to that there was also a fairly large capital investments that were going to be required. So it made more sense to expand our lower cost and rationalize the fleet and expand capacity in the lower cost plants versus in that thing. And just to give you a sense of size and even a perspective, the Saskatoon plant EBITDA was roughly in the range of $3.5 million.
PatrickKenny: Got it. Last one for me if I could. Just I know you're not commenting on the sales process but just to clarify your prepared remarks earlier. Saskatoon shut down and some of the other macro factors are not causing any sort of suspension of the process at this point. I mean, the process continues on as expected?
LucDesjardins: As expected. And those projects are a good an improvement for a potential future quarter [ph].
BethSummers: Yes, I think one way of looking at it is the expansions -- I mean, they have attractive return profile, they're on our lowest cost plan. So we are overall looking at optimizing that portfolio of assets as I mentioned earlier, sort of regardless of what would happen with the potential sale. So all these investments would help put us in a better position in the future. 
PatrickKenny: Okay great. Thanks for the color. I'll jump back in the queue. 
LucDesjardins: Right, thank you.
Operator: Our next question comes from David Newman with Desjardins. Your line is open. 
DavidNewman: Good morning, folks. I know Jim Patterson is jumping in a camp but he did the pulp mill curtailments implosion? I'm just -- once again, sort of talking about the sodium chlorate side. You know, last time -- I think it's 2005 and 2006 that we're -- I think it ultimately ended up -- it was a distribution cut. How do you compare the current situation of curtailments and closures in BC to that period? And how is the recent pricing and volume trends looking, overall?
LucDesjardins: All right. When chlor [ph] looks bigger for us than it has a long time. We're more sold out than we've been in the past. We have developed a marketing and sales approach for the last many years that are giving us the opportunity to have additional business in America and a lot more exports and new contracts coming on the export side on the two continents are really good and really profitable. So we're in a better shape from capacity utilization and margin today and going forward on chlorine.
DavidNewman: Customer commitment or take or pay or whatever you might call it in Quebec or Georgia relays that and how much your mix is now export. I think last time was like 16% is sort of exported. So is it -- any commitments that you're getting are they more in the international markets as opposed to domestic? Or how does that play on just thinking about expected returns on the investments?
LucDesjardins: Both markets are growing for us. And then the export in the next few years we have additional contract in Europe that will bring more callings. So our 16% to 17% going up a few points in the next 3 years for the additional contract that are maybe 3 years coming.
BethSummers: I think just responding a little bit to the question before also with respect to prepare on this in DC, we haven't been directly impacted. So the majority of the various plant closures that have been announced weren't our customers. So we're actually still seeing from our perspective, we're very confident with our query forecasts. And we're actually looking at inquiries remaining stronger on year-over-year basis for us.
LucDesjardins: Vancouver plant really exports a lot. We have new business and new or better margins from our Vancouver plant just for export going forward.
DavidNewman: Okay. And then on the caustic market, I mean, it looks like in Northeast Asia and I know you're not impacted by the Northeast Asia but the arbitrage does take place. And then the Gulf obviously got the Brazilian opportunity coming back and all that, which will take some pressure off you guys. But I mean, are you in the camp that you know, that caustic will recover here? Or do you think we could be lower for longer? What's your thoughts on some of the caustic markets overall?
LucDesjardins: So I'll start and maybe invest in the other. We have been very conservative that caustic would come back. They were very go forward to what's coming back. We've never forecast that we never believed it. Now we are. Royalty is now 80% in July capacity. So they're on their move to go 100%. We see that as a positive trend for us on caustic for quarter-to-quarter. And you're absolutely right that from Asia, we all touch that; we're on the different scale of whether two plans of selling and does that affect our margins.
BethSummers: And to just provide a little color on our view for the remainder of the year, from a numbers perspective. We have been conservative in our view of the market historically and the way that we're looking at the remainder of the year. From a positive perspective, with the various changes occurring in the market, we're assuming volume will be down roughly 3% for the remainder of the year and then the debt will be down roughly 1%. So modestly lower.
DavidNewman: Good. That's good color. The last one for me, guys is just on California and maybe the U.S. in general. The retail market in California is it a little more attractive? Are the margin profiles a little better than the retail side? And if you're -- and you're looking at the U.S. layout in terms of backfilling markets, where is the attractive opportunities for you guys on M&A?
LucDesjardins: You have shifted at East Coast and West Coast. The California market, we've done our homework in the last year and looking very good. It's a good propane business, solid, sustainable. We've done a lot of studying with that regard. So East Coast and West Coast best market for margin over GDP and some growth in the northeast. Absolutely so growth. So we're looking at those two markets and we don't mind buying in one or the other.
DavidNewman: Maybe we can schedule some tours down there in January.
LucDesjardins: Well, we're the largest one now on the wholesale side in California and I can probably make a long term prediction we'll be the largest distributor as well.
DavidNewman: Excellent. Thanks, folks.
LucDesjardins: If we add market. Thank you.
DavidNewman: Perfect. Thank you.
Operator: Our next question comes from Nelson Ng with RBC Capital Markets. Your line is open.
NelsonNg: Great, thanks. Good morning, everyone. Just a quick one on Saskatoon. So you mentioned electricity costs and capital investments required to keep the plant operating. Was demand ever an issue at that facility? I notice that one of your peers had lower volumes quarter-over-quarter or year-over-year. So I was just wondering whether you've seen some of the any of that pressure in terms of demand.
BethSummers: No. It's that the decision was really around from -- the plant was running well and we were selling all the volume. So it wasn't such a demand issue in particular. Again, it was the -- as you look at our overall portfolio, it just made sense in light of that capital investment that needed to be made and the higher electricity costs to reallocate where the volume would be produced across the company.
NelsonNg: So just kind of backfill supply from your other facilities to those customers that you're serving?
BethSummers: Yes. What we'll do is it'll take a period of time for the expansion to be completed. And during that time we've made arrangements to ensure that we have procured supply in order to supply customers.
NelsonNg: Okay. And then just on those expansions, was the expansions -- so were they more kind of triggered by the shutdown of Saskatoon in terms of the timing? Or was there specific demand where there's like customer needs you couldn't meet? Or I guess the question is why now, why you're running a sales process versus last year?
LucDesjardins: Yes. I think the number 1 reason we're intelligent people that buys company and they do better work. So we have advantage towards this kind of business and so the last thing we all know if we end up selling it. And this made a lot of sense. We have a new contract for export to Europe. And those are coming in the next 3 years with more volume. So we have to expand. When you go back actually coming towards the holding as nil. Every time I make a move, I always think I should have done that a year before. We probably should have done that the year before. But with the extra CapEx coming to us as we find out in the years to come it just made it so logic to just move on and shut down the cost plan that doesn't make much and two new role [indiscernible]. So, those are easy project, half at Oracle, they've built around the world, so those two bottlenecks mentioned are now on the scale, they're difficult to do in that extreme -- very expensive with very strong return, very strong.
NelsonNg: And you mentioned that Hydro Quebec would be funding a significant part of that facility. Is there like a rough number in terms of what that amount is in terms of subsidy?
BethSummers: Yes. We'll say it's roughly 40% of the capital investment.
LucDesjardins: And the years to come with no increase in electricity.
NelsonNg: Okay. Got it. And then one last question. It's more kind of big picture, in terms of talking opportunities and in the U.S., Luc I think in the past you mentioned that there are a lot of opportunities. Are you essentially I guess based on your current balance sheet and your debt ratios, are you kind of putting a lot of opportunities in the back burner until a potential asset sale? And then like after an asset sale, are you then going to wrap? Are you essentially just not doing a lot of potential transactions?
LucDesjardins: No. Already this year, we're continuing to pursue everything we can pursue on the East Coast and West Coast. So a lot of them are small and midsize. Not that far short and sold. We can do that on our own. And I understand your point but we're talking about a small short window here. The process vertical goes and then executed to our prediction is going to be happening this year. So if there's a midsize or a large acquisition, we're already in August. Hopefully, the timing would be more next year. But so from continuing our research and our meeting and our first to a strong background, we are happy to talk there.
NelsonNg: Okay, got it. Thanks, Luc. I'll get back in the queue.
Operator: Our next question comes from Jacob Bout with CIBC. Your line is open.
JacobBout: Good morning. So I know you don't want to divulge a lot about the sale process for Oracle but can you at least talk about what stage that you are at right now? Are you having accurate conversations, due diligence going on that type of thing?
BethSummers: Yes. I think the way that we would respond to that question or we will respond to that question is that we kicked off the process at the time that we publicly announced that we were looking at the process and making an assessment. And it will run sort of the way a normal process would run. And as a result of that, we would anticipate that we'll be in a position where we'll know what direction that we're going to be going forward in the fall.
JacobBout: Then maybe going back to the capital allocation question. I mean, clearly, you've had some success here in lowering your debt but maybe just talk a bit about how you're looking at tucking versus paying down debt. And then just remind us again, what your target levels are. And really just so I can understand like is there the ability here to step up some of these tuck-in acquisitions here, you know, over the next 6 to 8 months.
BethSummers: Some are long term target and long term target haven't changed. Our long term target for leverage is 3x. As we've always communicated, when we entered into the NGO transaction, that our plan was over that 24 months to 36 months being able to achieve that long term target. So we -- that's been delivering and according to the expectation. From an acquisition perspective, certainly where there are effective returns as all the [Technical Difficulty] at the return transactions. And then when you look at our guidance for the year that 3.62x to 4x, really the key items that are pushing us towards the bottom of the top end is the level of acquisitions that we would be doing within a year. And I mean, certainly for questions getting asked does it stop us from doing acquisitions? I mean, I think the capital markets, there's always tools and ways and abilities to find a bit of transaction.
JacobBout: Okay, that's helpful. And then on the chloride markets, talk a bit about the export. How much are you exporting right now? How much is that ramped up? How much of an opportunity is that for you?
LucDesjardins: Somewhat 17% of our production. I wouldn't be surprised -- there's 2 things that's happening. The pricing is better. There's improvement in pricing. And if I have to predict in the next 3 years we'll probably get to 20% very quickly.
JacobBout: And where would that have been, say a year ago or 2 years ago?
LucDesjardins: I know -- I go back a few years, it was about 30,000 tons and now we're around maybe 5,000 tons.
BethSummers: I think on a percentage basis, it was around 15%. So it's grown a little bit but not normally.
LucDesjardins: It depends how many years we're talking about. The export for 19 years period we're doing like 20,000 tons to 30,000 tons. And now we're on 80,000 going to 90,000 to 100,000. We have capacity, unique equipment as well. We have capacity to go to 120,000 so we'll be almost way up for the next 3 years.
JacobBout: Okay, and then last question just on your guidance. So you're talking about higher cost of pricing, how much higher are you looking for? And then HCL, are you looking for a flat pricing?
BethSummers: Yes. So from a cost perspective or on a pricing perspective, for the remainder of the year, we're actually looking at roughly a 1% decline would be what we're anticipating forward and yes the hydrochloric acid.
JacobBout: Correct.
BethSummers: From a hydrochloric acid perspective, pricing as we look at the back half of the year, I mean, it's going to be sort of in a similar range to what we're seeing now, which compared to on previous years it's 4% less, we're pricing 4% down.
JacobBout: Okay. And then maybe just to follow up there. So when we think about U.S. golf pricing, how does that relate to your key markets?
LucDesjardins: A lot less because there's 2 factors. A little bit when the conduct shift of this big customer in Brazil, of course. And now that that's happening, there won't be much in our backyard and forth of words. So we sell to many different other segments. There's not really -- we don't sell to the PVC world. So we sell to different segments that are more sustainable and more in the zone of where we're located. So there is an effect sometimes. There was in the last 6 months, of course, because too much capacity coming up. Now it's going to go back to be more world supply more from horizontal plan. So there is some we can [indiscernible] but it's not the main core of our business to have the demos completed early.
BethSummers: Yes, Jacob the way we would like to describe it is it does influence but it tends to be muted. You don't get the full piece but you also don't get the full valley. But because there can be some product that moves up further north and get close to our plant there is a muted influence.
JacobBout: Okay. Thank you very much.
Operator: Our next question comes from Raveel Afzaal with Canaccord Genuity. Your line is open.
RaveelAfzaal: Morning, guys. Thank you for taking my question. Two questions. First of all, can you compare -- I mean, more of a macro question. Can you compare what the operational expenses looked like in North America for specialty chemicals versus internationally? What are the key competitive advantages here?
LucDesjardins: When you're in North America, you have these low costs of natural gas. Think of China. They're never going to come here, never compete with us, China -- the cost of natural gas in America and the cost of electricity in Quebec is probably top in the world. So you have capacity to export chemicals and you don't have people coming into this North American market because of that big factor of a large percentage of our costs of [indiscernible] 78% of our variable cost is electricity and that's our energy, sometimes natural gas. So you're in a good spot to export and you don't have import coming in.
RaveelAfzaal: Absolutely. I mean, I thought like out -- absolutely outside of electricity I was wondering if there's any other key competitive advantages that you'd like to highlight as well.
BethSummers: No, that would be the key to the product being that from a variable cost perspective is that 70% to 80% of the variable costs.
RaveelAfzaal: And then just my second question. Given the international nature of these operations, can you talk about what type of precedent transactions you have seen for specialty chemicals businesses internationally if you could just highlight some of those transactions? And what type of multiples you've seen for those transactions?
LucDesjardins: That's a tough one to answer because we rather not go to give the direction orientations evaluation of the state.
RaveelAfzaal: I thought I'd throw in a cheeky question. Perfect, I'll get back in the queue guys. Thank you so much.
LucDesjardins: Thank you. Good try.
Operator: Our next question comes from Elias Foscolos with Industrial Alliance Securities. Your line is open.
EliasFoscolos: Good morning. I'll start with the high-level question. It's, again, for clarification. Luc, just to confirm strategically, you are looking at mid-sized acquisitions for propane along with tuck-ins at this point in time. Both options are kind of on the table. Is that correct?
LucDesjardins: Yes. Discussions are taking place on those 2 boxes, small and mid-sized.
EliasFoscolos: Great. The next one has to do with Western Canadian propane weakness. Clearly, I can see that in the numbers and that does stick out to me. And is there anything you're doing to mitigate that? And are there any opportunities that might occur because of that? Just to open up that question.
LucDesjardins: It's a great question. And if you run a business there's always 1 or 2 ahead so this one is settled in. The oil field as the volume has come down quite a lot with reasons cost already by $10 million internally and more to come in that regard. And we have in a year to come, we all heard about the natural gas big project [indiscernible]. Moving up from the West Coast and going to the West Coast to export. So this is something that is being imagined that it's not for today. But we have this contract coming to us to help them organize all the way through the line, to get to the water through the ocean for exploring will be the supplier of the energy for those workforce people, whenever they set up and they need energy and it's for the project and is going to be long-lasting. We're going to get some growth there. That happening now, it's a work in progress but we'll get some growth there. So we got cost reduction, we have this project on the West Coast coming as a positive a year or two from now; so that's good enough. And there's still a negative on us on the oil field because we're a good-sized supplier there. And of course, we're growing in the rest of Canada. The results are good, margins are good, internal growth project are good. And you know our story about States it's quite extraordinary when you think of -- we make acquisitions and $90 billion becomes $115 million plus another 4 coming. I think that we have the business model to do well in those oil fields as a business.
BethSummers: Yes. I think it shows the benefits, also of the diversification that we have across energy distribution now. Where there is this headwind that we're seeing in the West but as Luc said strong in the other areas.
EliasFoscolos: It's clearly very visible. So that's it for me. Thanks. The rest of my questions were asked. I'll turn it back.
Operator: Our next question comes from Joel Jackson with BMO Capital Markets. Your line is open.
JoelJackson: Hi, good morning. You raised the NGL synergies by $4 million to achieve next year beyond achieving your original $20 million. Maybe to go into some details, how will you get the extra $4 million next year?
LucDesjardins: Is your question, what is the $20 million breakdown?
JoelJackson: No. You added $4 million they're going to get next year. Where do you get the extra $4 million?
BethSummers: The extra $4 million is really being generated now that we've had a chance to spend more time within the business and do the integration activities. We've identified that there's incremental opportunity around operations and overhead and tight costs. So the best way to describe it is when you're looking at it, and we started applying the superior way, there's just more opportunity in applying those operational efficiencies that we originally would have just paid it.
JoelJackson: The reality of an anecdote of something you found that you could do that you didn't know you could do 6 or so months ago?
BethSummers: I think one of the easiest ways to think about it is when we're looking over all the consolidation of operating centers et cetera we had an assumption that we would have used and the reality is there's more consolidation that can occur than we originally would have anticipated.
JoelJackson: And now my last question is a little more -- you're a couple of months into the process to try to sell it or not sell it. Is there anything that you've learned or come across the last couple of months that made you think about the process definitely up with the assets positive or negatively? And then you could share that you sort of learned for the last little while. Thanks.
BethSummers: No, I think as we go through the process, everything proceeding as expected and as would be expected in a transaction like this.
JoelJackson: Thank you.
Operator: Thank you. Our next question follows from David Newman with Desjardins. Your line is open.
DavidNewman: Just a quick one, Beth. What's the sensitivity on the incentive comp to the share price? Maybe a reminder. I'm sure it's somewhere in the filings but maybe just a reminder.
BethSummers: Well, the impact that would have been for the quarter is roughly $3.5 million. Our last sensitivity as the share price move.
DavidNewman: And you said 17% was -- it was up 17% in the quarter, right?
BethSummers: Correct. Yes, if you want to think about it sort of a rough guide would potentially be if the share price was to appreciate $1 back across all of the organization, including all of the operational conditions, et cetera would have roughly in the range of $5 million impact.
DavidNewman: Okay, as annual I assume?
BethSummers: Yes.
DavidNewman: Very good, excellent. Thank you.
Operator: Thank you. And I'm currently showing no further questions at this time. I'll like to turn the call over to Luc Desjardins for closing remarks. End of Q&A
Luc Desjardins: Before I wrap up the call, I want to thank all employees and management of Superior for a great second quarter. And we have good momentum in many ways. I think we buy line properly, which we want to be as transparent and you understand that your fear is not a positive thing for us but everything else is. So in that regard, I'm wishing you all the best. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. Thanks for joining everyone. Have a wonderful day.